Thomas Russell: All right. Tony, we're ready.
Tony Sheehan: Thanks, Tom. Good morning, and welcome to the H1 FY '26 update for Change Financial. My name is Tony Sheehan, CEO of Change, and I'm joined by Tom Russell, Executive Director. Similar to our usual webinar format, Tom and I will run through a presentation and then take Q&A at the end. If you do have any questions, please submit them through the chat function on this webinar. Okay. Just a little bit briefly about Change Financial. So, Change Financial provides innovative and scalable payment solutions for over 150 clients across more than 40 countries. We are a B2B business with 2 core products. The first being Vertexon, which is our Payments as a Service offering, which provides card issuing, card management and transaction processing. Vertexon supports prepaid, debit and credit card issuing, and there are 2 main models under Vertexon, the first one being processing only. Under this model, we provide the technology, which is a card management system to clients to run their card programs. The clients hold the necessary scheme and regulatory licenses to issue cards. So processing only is available globally and supports all major schemes. And we have clients using Vertexon in Southeast Asia and Latin America, including 2 of the largest banks in the Philippines running over 45 million cards on the platform. The second model is processing and issuing. This is only available in Australia and New Zealand. And under this model, clients utilize Vertexon for processing capabilities and leverage our regulatory and scheme licenses and issuing capabilities. So under this model changes the card issuer record and provides treasury, fraud and compliance services. Vertexon generated 85% of the group's revenue in H1. Our other core product is PaySim, so that's software, which enables end-to-end testing of payments platforms, processes and scheme rule compliance. The PaySim software is based on global messaging standards and can be sold globally. PaySim is the default testing standard for EFTPOS in Australia and has a blue-chip client base, including 5 of the top 10 digital payments companies. PaySim contributed 15% of the group's revenue in H1. So importantly, for both the Vertexon and PaySim, they are proprietary payments technology platforms, which are owned and developed in-house by Change. So this is an important -- this is important from a value and control perspective for the company. So, if we look at some highlights, so really strong financial performance in H1 with a record half year revenue result of USD 9.3 million. So that's up 29% on prior year. 70% of revenue is derived from recurring sources. So this provides a very solid base of revenue to grow from. The proportion of revenue from nonrecurring sources increased during the half due to the strong performance from licenses and professional services revenue. So one-off revenue is an important driver of overall financial performance and was a key contributor to the strong financial performance during the half. Our rolling 3-year revenue CAGR to 31 December is now 25%. Underlying EBITDA for the half was USD 1.8 million. So, this is a material improvement on the underlying EBITDA loss of USD 0.5 million in H1 FY '25. The key drivers of this significant improvement in the underlying EBITDA were revenue growth, stable fixed cost base and the U.S. cost outs from the exit of the U.S. operations. Now if we isolate the impact of the U.S. cost-outs, H1 FY '26 underlying EBITDA was USD 1.9 million versus an underlying EBITDA of USD 400,000 in H1 FY '25. So, we also delivered a maiden profit of USD 600,000 for the half. So that's a real key milestone for the company and something we're very, very proud of as well. We are seeing the operating leverage pull-through we've been talking about. We've been talking about this for the last few quarters. We want to continue to drive operating leverage moving forward to generate margin expansion as we continue to scale. So, PaaS is a key driver of our growth, and we have seen strong growth in PaaS metrics across the board. We now have more than 110,000 cards active in Australia and New Zealand. That increase in cards was driven by the Sharesies debit card program in New Zealand, which launched in October and also significant growth in one of our existing fintech clients in the prepaid card space. So, we will continue to drive revenue growth on the PaaS platform through organic growth from our existing clients. Our new clients already signed. So, we're currently onboarding 2 clients and also further client wins. One of our key priorities across the business is growing our PaaS client base in Australia. So, increasing our footprint in Australia will drive scale benefits. So, we have the product and the team in place to add significantly more clients and volume without having to increase our cost base. There's a significant opportunity in market size in Australia as well. So, we want to really replicate that success that we've had in New Zealand and bring it here into Australia as well. Over to you, Tom.
Thomas Russell: Okay. Thanks, Tony. So, we cover a lot of this information in our quarterly webinars. So, the slides are here for new investors, but I won't spend too much time going over the same ground. If you do have specific questions, please ask them using the Q&A function, and we are more than happy to answer them at the end. As Tony said, we've had a great growth in our active card numbers with a significant number of new cards added late in the half. Active cards were up 66% versus H1 last year. We obviously finished onboarding and launched a significant fintech client in New Zealand in October last year, and we're also currently launching another significant fintech client who will soon be migrating existing cards across the Change. We report active cards, which is a leading indicator for expected activity, that is transactions and transaction volume. We want clients growing because the PaaS model is designed to support our clients through launch and then their growth is also our growth. The types of fees we earn from our clients are listed there in the bottom left table. Generally, the largest driver of PaaS revenue is a number of transactions, but we also charge for active cards volume fees depending on the type of transaction and other valued fees you see there. Okay. The 2 clients I just mentioned that have recently launched and are in the middle of launching already have a significant cardholder base and the volumes are starting to show in the coming periods. Change is a B2B business and sales cycles can take a while. But importantly, once clients are onboarded, they can be very meaningful from a revenue perspective and as clients go through their own rollout plans and their multiyear deals. One question we get a lot is, are you actually going to be able to compete in market? Why would someone use Change over a competitor? Well, if you look at this chart, 6 of these clients were one of competitors. So the answer is yes, we can and are competing in market. We are winning on features, service and reliability as one of the only options in market now that owns our own technology. So in short, we've already proved we can win clients. The graph here shows that both competitors -- from competitors, banks and other issuer processes, and we can win net new programs. The key focus for us is building up the number of clients on the right that are contracted and going through the onboarding process. We won a new client in Q2, which is just about to start onboarding. And with the momentum building and more of the deals maturing through the pipeline, you should expect to see the box on the right starting to grow again very soon. All that will drive recurring PaaS revenues in the short-term, but also over the medium to long-term. I've presented this slide before as well, including in our full year results. So I'll just quickly touch on the key points for anyone new. Firstly, the scalability of Vertexon. Our clients process and manage over 45 million debit and prepaid cards on the platform, including one client in the Philippines who issued more than 40 million cards. For our Vertexon on-prem clients, we historically sold a one-off license to them. From that point, clients pay an ongoing support and maintenance fee of around 20% for as long as they continue to use the platform. That includes us pushing quarterly updates to them to ensure their system remains compliant with the card scheme mandated changes. Importantly, many of these clients have been with us for more than 10 years. Vertexon is a core system for them when they roll out new features, for example, the Southeast Asian client recently launched a credit card offering. They pay new license fees plus ongoing support and maintenance. Some clients also expand card tiers, which drives additional license revenue. Revenue here is generally not linked to transaction volumes. PaySim operates in a very similar way. Clients pay an upfront license fee for the modules they require and then ongoing support and maintenance to receive quarterly scheme updates. It's highly modular. Clients typically start with 4 or 5 core modules and then they add additional testing functions over time, which drives further license and recurring revenue. Across both products, particularly Vertexon on-prem, we also undertake customization work where required, generating professional services revenue. Talking explicitly to the financials now. It was a great half financially for Change, a record revenue half with USD 9.3 million of revenue or AUD 13.3 million of revenue, which is up 29% on H1 FY '25. PaaS is now the biggest contributor to revenue and Oceania has overtaken Southeast Asia as well as our biggest region in the last 12 to 24 months. I like sneaking this into every presentation, too, but we've had consistent quarter-on-quarter growth now for the better part of 3 years, and we are on track to have doubled the revenue in the business in the last 3 years by the end of FY '26. Pleasingly, revenue was up across the board and recurring revenue continues to build. The revenue waterfall chart here clearly shows where the revenue comes from across the business. The growth in revenue is being driven by our PaaS clients, but also our Vertexon clients who use Vertexon's core system and have had it deployed into their banks for a long time. The team is doing a great job at managing project pipelines, and we are seeing that work and resulting revenue dropping through at higher rates than in previous years. As a reminder, approximately 70% of our global client base pays us in USD, 20% in New Zealand dollars and 10% in AUD. Turning to the profit and loss. So again, USD 9.3 million of revenue in the half. You can also see the benefits of the cost reduction and exiting the U.S. operations, which is now materially completed, and we're in the final stages of the process to wind down the U.S. subsidiary. As we always say, we have the team in place to support significant increase in revenue, and that's the power of the platform. We are now starting to also see the benefits of AI multiplying the scalability of the platform, and Tony will talk through this shortly. Significantly, we recorded a significant step change in underlying EBITDA with a positive result of USD 1.8 million for the half. For context, we made a USD 0.5 million EBITDA loss last year in H1, and we only recorded USD 200,000 for the full year of FY '25, a 9th of the half year result. This clearly shows the inflection point the company is going through. Looking at PaaS margins, these have started to expand as we have advised they would. Margins in FY '25 set around 26%, but in H1 FY '26 have moved to around 30%. We still have heavy onboarding activities, which we continue to expect to have as more clients are onboarded, but the impact of these lower-margin revenues and even costs during onboarding are diluted by higher recurring base of transactional revenue. As we scale, fixed costs like connectivity and digital pay certifications are spread across a larger revenue base and will support ongoing margin expansion. Turning to the balance sheet. At the end of December, we had USD 2.6 million of cash at bank, an additional USD 1.4 million of cash-backed security deposits. As flagged at the full year, we have started splitting out client settlement funds that sit on our balance sheet as well. These relate to our PaaS business. They were USD 2.5 million at 31 December and fluctuate depending on the day of the week. There also is an offsetting liability for USD 2.3 million, which is labeled scheme settlements payable, which we've now split out from other trade and other payables. We also maintain a healthy balance of contracted liabilities. These are already contracted paid for support and maintenance as well as professional services work that will be unlocked over the next 12 months. In the first couple of months of H2, we've also contracted some large projects with Vertexon on-premise clients that are not reflected in that 31 balance. Overall, the balance sheet is in very good shape, and we continue to drive profitable growth. We'll continue to strengthen the balance sheet. In terms of cash flow, the significant improvement has been driven by a significant increase in cash receipts, but also the stable fixed cost base. The increase in operating payments is primarily driven from PaaS COGS as volumes and revenues increased. CapEx has stayed relatively stable with capitalized software development only up slightly on the back of additional revenue-generating features rolled out to clients in the half. As we always point out, given the billing cycle and cash usage cycle in the business, H2 is expected to be much more improved again on a net cash flow perspective and remain on track to hit our target of cash flow positive guidance for the full year. Back over to you, Tony.
Tony Sheehan: Thank you, Tom. So just briefly touching on the large market opportunity that we have in front of us. Many of you on the webinar today would have already heard us talk around this, but there are some new people on the call. So, I will go through this, but I'll go through it pretty quickly. There is more details in the appendix. So, we have a very large market opportunity for Vertexon and PaySim. So, what is our focus really to capitalize on these opportunities? We have identified target markets. So, for Vertexon, that is Australia, New Zealand and Southeast Asia. They are the regions that we are gaining traction and winning. For PaySim, it's global as the product can be sold globally without modification. Secondly, we have pivoted towards outbound sales hunting. So, we have reshaped the sales team and pivoted towards outbound sales. So, the BDMs that we have hired over the last 12 months continue to aggressively target outbound sales opportunities. Thirdly, it's growing and leveraging the partner ecosystem, so expand our partner ecosystem and work more closely with existing partners to drive mutual value. That partner ecosystem provides a one-to-many sales approach, which can be very effective for both Vertexon and PaySim. Fourth is cross-sell and upsell. So, work with our existing Vertexon and PaySim clients to drive project work, and for Vertexon clients, continue that journey towards migrating to PaaS or the latest on-premises version. We upsell the modern functionality and features to clients, which also drives incremental revenue across both products. So, if we look at some key operational achievements. So, to deliver on our financial results that Tom has just gone through, we have a clear and focused operational plan. So, some of the notable operational highlights for H1 include from a commercial perspective, we integrated a marketing campaign automation tool and commenced marketing nurtures for Vertexon and PaySim. So, this is to increase brand awareness and lead generation. We expanded our partner ecosystem. So, we signed 3 new PaySim partners and a new BIN sponsored partnership with a global processor. We also launched our first BIN sponsorship client in New Zealand. We've talked about them before, the Sharesies debit card program launched in early October. From a product perspective, we significantly enhanced the Vertexon PaaS digital capabilities. So, we upgraded our digitization offering, and we broadened our SDKs or our software development kit to enable faster and deeper client integration. So that's really key from a sales perspective as well is having a rich SDK, which does make it easier to integrate and offer more functionality. We continue progressing the PaySim modernization project. So, we completed a 64-bit upgrade to increase testing capacity for our clients. We also enhanced the PaySim ISO 222, which is account-to-account payments product offering. So that complements our ISO 8583 offering. And we completed dual domestic EFTPOS network connectivity in New Zealand. So that's important for our debit card programs and in particular, our financial institution clients as well. From an operations perspective, we strengthened the Vertexon PaaS platform monitoring to maintain high availability as volumes continue to scale. We also undertook ongoing high availability infrastructure improvements, again, for continued scaling. Some of the clients that we're in discussions with and one that we've won recently really is around the resilience and stability of our platform. So that is key for us from a business perspective. We also deepened AI integration across the business, and I'm going to talk more in more details around that now in terms of AI. So, if we look at -- looking a little more deeply at AI and what it means for our business. So AI is rapidly evolving on a daily basis. The enhancements in capability, particularly in the last few months is quite extraordinary. So, the evolution of AI has now reached the point where it can create significant opportunity and value for Change. AI is not new to us. So we already utilize AI in products, for example, fraud monitoring and over the last 24 months, have deployed AI to assist development and other business units. Now with the recent transformational improvements in AI, we are changing the way we adopt AI moving forward. We are embedding Agentic AI across development, operations and client delivery. This will enhance structural advantages and drive operating leverage across the business. So, what is the impact we see from embedding Agentic AI across our business? Firstly, it's around defending and deepening the moat. So, we have proprietary platform control. As we mentioned earlier, we own the technology for Vertexon and PaySim. So this enables faster execution versus competitors reliant on third parties. We have over 20 years of institutional trust in our products. So AI improves our resilience and scalability. Embedded proprietary business logic, so compounding advantage as AI trains on our internal data. There are also some things which AI can't shortcut. So for example, scheme certifications and regulatory licenses and compliance. From our perspective, AI strengthens our competitive moat rather than eroding. Secondly is to accelerate revenue, so faster product releases. So development cycles compressed from months to weeks. So, this will accelerate our product road map delivery, which is super exciting. Will enable faster client onboarding through reduced implementation time frames. It will enable more customization capacity. So that's improved -- that will improve our ability to win large and complex deals. And it will also improve client responsiveness, so stronger retention and cross-sell expansion. The third pillar that we see there is really to drive margin expansion and operating leverage. So increased developer productivity, so far greater output per employee. There will be automation assistance with support and reporting, reduced rework and testing cycles. The operational task, automation, so workflow enhancements to reduce manual engagement and also expanded operational capacity. So, AI will augment teams and drive financial efficiency. So, we are in a super exciting period of evolution for our business. In terms of the outlook, so on the back of a strong H1, we upgraded our guidance for FY '26 in late January. Many of you will be aware of that. Revenue is now expected to come in between USD 17.5 million and USD 18.5 million. So, the increased quantum of recurring revenue provides a very solid base for the business. Underlying EBITDA is now expected to come in between USD 3.1 million to USD 3.8 million. So that's a 15% increase at the midpoint compared to previous guidance, which we released in July. We've also maintained our guidance of being cash flow positive for the year. So as Tom mentioned, historically, our cash flow has significantly improved in the second half of the year. We expect that to be the case in FY '26 as well. So overall, it's been a great start to FY '26. Our focus is on growing the business and executing on our operating plan to deliver on our targets for the year. Tom, we might turn over to Q&A. I think we've had some come in.
Thomas Russell: Yes. Thanks, Tony. Okay. So. the first one here is from Miles at Veritas Securities, who has recently picked up coverage of the stock. Thanks, Miles. To what extent are AI and automation enhancing your sales and marketing capacity?
Tony Sheehan: Yes. So good question there. I think let's start with the marketing. What the -- what AI is enabling us to do is establish content faster, whether that's white papers, whether that's lead generation materials as well. So that's sort of the first pillar is around that content. It will also likely enable us to do AI-powered lead scoring as well. So, we will use signals, web visits, content downloads, engagement frequency to enable targeting to potential clients there. So, it will continuously learn from our CRM data that we have and refine that and refine the nurtures and the campaigns that are going out. And then what we would be hoping that will come out of that as well is the identification of more sales-ready leads earlier. So that directly leads into the sales side of the business as well. I did talk around the enhancements that Agentic AI, we see coming across the business in terms of product delivery, the road map, customizations as well and onboarding -- the speed of onboarding of clients. So, we think that when you combine that with marketing and the product from a sales perspective, we will reduce implementation friction, increase confidence, particularly during those large and complex enterprise procurement processes there and accelerate our sort of revenue recognition for new contracts.
Thomas Russell: Thanks, Tony. Next one from Joe at MST. Congrats on the great result and maiden profit. Just wondering if you can give any color on the current sales pipeline.
Tony Sheehan: Yes, I'll take that. So, the sales pipeline at the moment is in very good shape. We've got some very good opportunities that are down the bottom of the funnel, so well advanced in Australia, which is great on the PaaS side. Tom mentioned around when we talked around that onboarding slide where you can see the number of clients and building out that box down the bottom right in terms of clients that are signed. We will be looking to really build that out over the coming quarter or 2 as well. So, from a sales perspective, looking very strong there, which is great. We just need to get those conversions and close those deals hopefully in the coming months as well. And then Southeast Asia, we are still seeing good traction up there. We've got some really marquee clients up there, which is driving a lot of our professional services and license sales on the Vertexon on-premises side as well. So, some great opportunities coming through. Joe, needless to say, we just need those to drop through in the coming months as well.
Thomas Russell: Thank you. All right. Laf from MST, who also covers the stock. I appreciate the extra color on AI. Can we talk to specifics on the costs and how they may change and investment versus possible savings? I'll let you take that one, Tony.
Tony Sheehan: Yes. And Tom, jump in on this as well. So Laf, in terms of where we're at with that AI, that is rolling out in a very accelerated manner across our business. I think in terms of the costs and what that will change, we will be working on that in more detail in the coming sort of couple of months as well as we -- as that rolls out across the business. So, probably a little bit early for us to sort of talk around that investment and possible savings. Tom, I don't know if you've got anything you want to add to that?
Thomas Russell: Yes. The only thing I'll say is that the actual AI tools don't cost a huge amount of money. So, it might surprise you, but we're not talking about huge amounts of money to make that investment in AI. We've already started doing that, as Tony said, over the last 12 months in particular, but the additional cost of AI is not great. And I think we can provide a bit more color on that in the coming sort of months to 6 months. Okay. Another question from Laf. Are the 3 wins in PaySim net wins, new wins?
Tony Sheehan: Yes. So, they're partner wins, so they are net new partner wins, Laf, on the PaySim side. And so, they're in most of those -- one partner was in Latin America, 2 were in the Middle East as well. So, regions where we can sort of leverage that partner network to sell PaySim licenses in region.
Thomas Russell: So, we sell a lot of licenses through partners currently in different parts of the world as well. So, we use them as a distribution channel. And what worked in the pitch for PaySim, how do you seriously move above a less than 0.5% market share?
Tony Sheehan: Yes. So, with PaySim, it is extremely functionally rich. So, the software itself, functionally rich. We have resellers that have their own testing tools as well, but they sell PaySim because it is more functionally rich. In terms of how do we move past that 0.5%, we are undertaking a modernization of that product, so to improve the look and feel of that. That's where we would expect our Agentic AI to really accelerate that modernization of PaySim. It's also about direct sales. So, we've moved towards outbound sales hunting with the appointment of new BDMs last year, and that partner network, we talk around that one-to-many partner network for distribution as well. So, it really, Laf, comes from product. So that modernization is very functionally rich. Let's modernize it to improve the look and feel and then direct sales and partner sales, I think the partner sales network, which has been very good for us historically. We need to accelerate that, and that's one of our key focus areas.
Thomas Russell: Back to AI. Do you think you can use it for any horizontal opportunities as a new revenue potential?
Tony Sheehan: Look, in terms of horizontal opportunities, I mentioned it earlier around accelerating our road map. We have road maps for Vertexon and PaySim. Where I see the AI coming in is the acceleration of that, which is new products and features. So that is revenue potential. So absolutely see AI as accelerating our revenue potential and growth there.
Thomas Russell: I've got another question here. What is the cost of remaining listed? Would the company not be better off being privately held? Look, that's something that people ask us from time to time. The cost is probably about USD 400,000 a year in terms of being listed. It's not cheap to be a listed company, which is why you see in the market now companies need to be bigger before they list. Look, it's something the company could consider, but we've got about 2,000 shareholders who I'm not sure would all appreciate being a private company. So, for now, we'll be staying listed. Michael from MST. Can you touch on some of the future products or enhancements you guys may be exploring over the next 12 to 24 months?
Tony Sheehan: Yes. So, Michael, from a product perspective, if we have a look at PaySim, the modernization, which I mentioned in the presentation and also some of the last questions there, the modernization look and feel, also building out our ISO 222, which is our account-to-account solution as well. So, what we -- a core function that we have runs on 8583, ISO 8583. What we want to do is build out that functionality around account-to-account payments because that's a growing segment as well. So, that will be the real focus for PaySim. If we have a look at Vertexon, again, we have a long list on our product road map, which we go through with prioritization. Things that we are looking at, I've mentioned that we've significantly enhanced our digital capabilities on the PaaS platform. We will also be looking at loyalty and also account-to-account, so real-time payments to complement our card issuing. We're not going to be someone that competes for account-to-account payments, but it is a complementary offering for our clients around that card issuing. So that's probably some of the key things that we'll be looking at over the next sort of 12 to 24 months. And again, that's where we do expect that acceleration to happen through our sort of rollout of Agent AI.
Thomas Russell: Thanks. Last question for now. Sean from Snowble. Does the use of AI affect your hiring decisions? Example, would you look at hiring less due to efficiency gains? So, I might take that one, Tony. So yes, I think that is our expectation. The platform, as everyone knows, is very scalable, and we've always needed to hire a few people to double the revenue, like we said for the future and like we've shown in the last sort of 12 to 24 months. We've had those people there the whole time. The revenue has doubled. We don't need to -- when we sign a new client, go and add more staff necessarily. There will become a point where we do. As we said before, we're sort of going through our AI rollout plan at the moment. It's happening very quickly, something we've been sort of been keeping a very close eye on and how it's going to affect us as a business. So we're well ahead of it. But over the next few months, I think we'll be in a position to talk more about that as we come into towards the end of the financial year. Okay. That's it for questions for now, I think, Tony.
Tony Sheehan: Okay. Thank you for the questions, Tom and I always enjoy the engagement from investors and our analysts that cover our stock as well. Thank you for joining. Thanks for taking the time to join us on our H1 update. I look forward to keeping you updated throughout the remainder of FY '26. Lots of exciting things happening in the business. So, we'll keep that coming with our news flow as well and our quarterly updates that we provide.